Operator: Ladies and gentlemen, thank you for standing by. Welcome to the First Quarter 2024 Hubbell Inc. Earnings Conference Call. [Operator Instructions] After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would like now to turn the conference over to your speaker today, Dan Innamorato, Vice President of Investor Relations. Please go ahead. 
Daniel Innamorato: Thanks, Michelle. Good morning, everyone, and thank you for joining us. Earlier this morning, we issued a press release announcing our results for the first quarter of 2024. The press release and slides are posted to the Investors section of our website at hubbell.com. 
 Joined today by our Chairman, President and CEO, Gerben Bakker; our Executive Vice President and CFO, Bill Sperry.  
 Please note our comments this morning may include statements related to the expected future results of our company and are forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Please note the discussion of forward-looking statements in our press release and considered incorporated by reference into this call. Additionally, comments may also include non-GAAP financial measures. Those measures are reconciled to the comparable GAAP measures and are included in the press release and slides.  
 Now let me turn the call over to Gerben. 
Gerben Bakker: Great. Good morning, and thank you for joining us to discuss Hubbell's first quarter 2024 results. Hubbell is off to a solid start to '24 and we are well on track to deliver on our full year outlook, which contemplates double-digit adjusted operating profit growth at the midpoint.  
 Performance in the quarter was highlighted by strong organic growth and margin expansion in Electrical Solutions. Electrification and U.S. manufacturing activity is driving broad-based strength across our markets. most notably in renewables and data centers, which continued to grow double digits in the quarter.  
 Our Connectors and Grounding business, which is strategically positioned in these verticals, as well as in broader industrial markets realized double-digit sales growth in the quarter.  
 We also continued to make progress in our HES segment unification strategy, with 80 basis points adjusted operating margin expansion in the quarter despite increased restructuring investment and footprint optimization.  
 With the completion of our residential lighting divestiture in February, we are confident that our Electrical Solutions portfolio is aligned to structurally higher growth and margins going forward.  
 In our Utility Solutions segment, performance in our core utility T&D markets was solid, driven primarily by strength in our grid automation businesses and transmission markets. As anticipated, utility distribution markets continue to be impacted by channel inventory normalization, the end market demand remains solid.  
 We're also pleased with the positive contributions from our acquisitions in the quarter. Systems control is off to a good start, and the integration is running smoothly while Balestro and EIG delivered strong results in the quarter. Telecom markets were weak in the quarter, driving significant sales and margin declines in our utility and closures business. While we continue to have a positive outlook on the long-term growth prospect of fiber deployment and broadband access, we expect this weakness to persist in the second quarter and are taking additional targeted actions in response.  
 Bill will walk you through the details within the quarter in a few minutes. But overall, we are confident in the setup for utility solutions over the balance of 2024 as our leadership in attractive utility T&D markets positions us well to meet the grid modernization and electrification needs of our customers.  
 From an operational standpoint, we executed well in the quarter against a challenging prior year comparison. We're very pleased with our early traction on price realization which continues to be supported by a strong position and leading service levels. While the operating environment remains inflationary, we achieved positive price/cost productivity in both segments in the quarter.  
 As we highlighted throughout 2023, we accelerated our investment levels as the year progressed in areas such as innovation and engineering, capacity and lean as well as sourcing and procurement. These investments continued in the first quarter, and we are confident they will deliver attractive payback through higher long-term growth and productivity levels.  
 Before I turn it over to Bill, I wanted to share some insights from our Hubbell Utility Connect Customer Conference a few weeks ago. We hosted over 400 utility customers to showcase our solutions across each of our brands, product lines and end markets. This was the first time Hubbell Health customer event of this magnitude across the entire utility solutions franchise. And I'd like to thank Greg Gumbs and his leadership team for creating a unique forum for us to engage with our customers, to educate and collectively problem solve to make our critical infrastructure more reliable and resilient.  
 Key takeaways from several days of discussions with our largest customers who are clear. Utilities are in investment mode. Our customers anticipate a multiyear T&D investment cycle as the combined effects of aging infrastructure, renewables, electrification and load growth will require more hardened infrastructure, as well as unique solutions to emerging challenges.  
 Hubbell's leading quality and service levels together with our proactive investments in capacity and innovation will position us well to grow with our customers as their investment levels accelerate in the coming years.  
 In particular, utility customers are focused on the impact of load growth driven by data center power consumption. While this phenomenon is still early days, the impact to our customers is real and will require incremental investment over a period of many years as large projects progress and require grid interconnections. Higher growth and more specifically higher peak load growth will require more transmission and substation infrastructure, areas where Hubbell has recently doubled down and will be well positioned to serve. It also means novel solutions and grid modernization will be required to solve the emerging problems and Hubbell's unique leadership across utility components, communications and control will enable us to partner with our customers for continued long-term success.  
 With that, let me turn it over to Bill for more details in the quarter. 
William Sperry: Thank you, Gerb. Good morning, everybody. We're well aware that you're all over schedule. There's a lot of releases today. So we appreciate you taking time to discuss Hubbell's performance. 
 My comments are starting on Page 5 of the slides that you hopefully found. And overall, the enterprise performed solidly, a little bit better than we anticipated. Then that had some puts and takes, but very consistent with our full year outlook and our expectations of normal seasonality.  
 Our sales for the quarter were $1.4 billion, a high single-digit growth. Organic was about 2% of that inorganic about $6, so we'll talk about the inorganic story quickly, 3 acquisitions contributing in the quarter. Systems control, which is a substation turnkey solution business; Balestro, which helping our arresters business; and EIG, which is power control components, all 3 in the utility segment, contributing about 8.5 points of growth in the quarter. And we closed on residential lighting disposition in very early February. So we lost 2 months of sales in the first quarter, and that cost us about 2 points.  
 So I think that's the quantitative side of the inorganic, but qualitatively, we feel we meaningfully added to the growth and margin profile of the enterprise. Operating profit at attractive levels of 19.7%, down 1 point, better-than-expected performance on price cost productivity, was more than offset by decremental and our enclosures business, which is where the telecom exposure is, and higher investment levels in growth and productivity, including some restructuring spending, which we'll talk more about when we get to the segment review.  
 Earnings per share was $3.60, flat to last year, and operating profit dollar growth was offset by interest expense and free cash flow on track to deliver our full year outlook of $800 million. We'll dig down on Page 6 a little bit deeper into the performance, and specifically we're showing the year-over-year compares. And as we do that, it's worth a mention of the first quarter of 2023 was -- it's quite a difficult compare really, really strong performance last year where price cost was a particularly strong tailwind. It was pre destock and pre-investments that we made.  
 And -- maybe just to remind everybody, we had OP and earnings per share up 70% and margins up 7 points.  
 So I think that context is important as we look to the year-over-year compares. Sales were up, as we said, 9% to $1.4 billion, 2% of that was organic, which is comprised of 3 points of price, really driving the top line, volume was slightly down, and we're quite pleased with that price performance showing real strength of our franchise.  
 The operating profit is up 3% in dollars to $275 million. And as we talked about the difficult compare year-over-year because you see it's down 1 point, it's worth commenting on the sequential, where we see margins up 30 basis points sequentially.  
 So we think that's quite positive to setting up a normal seasonal year. Earnings per share at $3.60 flat to last year. The OP was offset by interest expense from the 3 companies that we bought. I mentioned those, the combined value of that investment was about $1.25 billion. And it's worth maybe a comment on how the balance sheet absorbed that level of investment.  
 We financed those 3 acquisitions with a combination of debt and cash and also sold a business, as we mentioned. So the balance sheet impact of all that, we went from 1.3x gross debt to EBITDA, we increased a half turn to 1.8x. So after investing $1.25 billion, we're still a very, very solid balance sheet, very easily absorbed and very well positioned to continue to invest in acquisitions and CapEx, which I'll talk about in a second.  
 When you see free cash flow at $52 million, and I did want to highlight that, that's absorbing a 20% increase in capital expenditures to $40 million. And I really think that our confidence in our short and medium-term outlook, you can see that when we're ramping up CapEx at the 20% level. So I think we'll learn a lot as we dig into the segments.  
 We'll start with the Utility segment on Page 7. I see sales up 14% and OP up 2% and the 14% growth in sales is essentially all acquisitions. The organic is neutral where there's 3 points of price and offset by a similar size decline in volume. You'll see with the bold words on the lower left, that we've reclassified the businesses into these 2 units to be consistent with the way Greg has organized his operating team. So grid infrastructure versus grid automation.  
 In grid infrastructure, we have our traditional T&D business. We have the new acquisition that's in substation turnkey solutions and we have some specialty infrastructure businesses namely enclosures and gas components. That's all in the grid infrastructure area.  
 And then in automation, we have Aclara, which is the meters and the communications products, as well as protection and control products. You'll recall the name Beckwith with controls as well as switching and fusing products, which are providing the protection.  
 So we'll show you on the next page all the sizes and what to expect from those. But the infrastructure business was -- and the core utility business performed very, very well. Transmission up double digits, Distribution, still going through their channel, inventory normalization. We're getting near the end of that persisting a little longer than we expected as we think the channel has worked -- largely worked its way through, but we think the end customers are still holding some inventory. So we're getting closer to putting that behind us.  
 And when we get to the Electrical segment next, you'll see that they went through the same last year and have emerged very healthily. So really good PCP performance in that T&D business and said it's very constructively for its financial performance.  
 Grid Automation, likewise, double-digit growth both in the meters and comm area, but also in the control and protection area. So really strong contribution there. The headwind is really coming from the telecom sector, which is inside that specialty Infrastructure Business and are really enclosures that we make for the Telecom segment.  
 They are navigating both channel and customer inventory normalization period, creating a significant headwind with a 40% decline in volumes. The business line is very profitable. And so it's creating an OP drag. So the effect of that is about 4 points on the segment top line -- and as you can see about 1.5 points on the OP line.  
 So the OP for the segment is up 2%. Again, to remind you of the compare last year the utility OP was up 87%. So growing off of that is very impressive. A decline of 2.5 points of margin being led by the decrementals in telecom.  
 And to be clear, our medium-term outlook for telecom business is quite positive. And we've also made -- continue to make investments in the long-term growth and productivity of the segment. Those created about 1 point of drag and the acquisitions that we mentioned, which are all doing really well and are all performing very profitably, but against that mid-20s level actually created a 0.5 point of drag essentially in the first quarter of systems control being part Hubbell.  So still, I think, very good performance there. And the price/cost productivity equation was positive. 
 Again, we're showing you the year-over-year compares. I do want to highlight sequentially from the fourth quarter of last year, the margins are up 40 bps. So we're feeling again like we're setting up for a successful normal seasonality year-on-year.  
 I wanted to add a Page -- on Page 8, just to make sure we're being clear about our nomenclature and where we have the different business units. So on the left, you can see the grid infrastructure comprising 75% of the segment and the balance is grid automation. You can see from about noon to about 6:00 there on the pie. That's the traditional T&D businesses between substation, transmission and distribution, then from about 6:00 -- or 7:00 to 9:00, you see the telecom and gas, which represents the specialty. And then from 9:00 to noon, you see the Aclara utility meters and then the protection products. So hopefully, that gives some clarity to the relative sizes of those different businesses.  
 And we just added a little bit because they're not all performing exactly the same. So we wanted to lay out first quarter trends against what we're expecting for the balance of the year.  
 And Distribution, we're expecting that sequential improvement, Transmission substation very strong. Telecom was weak, as we said, and we're anticipating some softness -- but again, where the rebound will come in the medium term. And so balancing our cost cutting there against being able to serve when demand comes back, it's representing interesting challenge.  
 Meters has been successful on its backlog conversion. We expect that to continue. We're noting the comps get a little more difficult for them, and the protection and controls product is very strong. So in sum, in utility, very pleased with the pricing of these segments. We've got strong visibility in the majority of our markets -- and we're expecting the normal seasonality and a nice healthy set up, really, we think, a uniquely positioned business. So I want to switch to -- on Page 9 to the Electrical segment, a little bit more straightforward to explain to everybody. You see flat sales at about $500 million you take out the effect of the divestiture of residential lighting. We were up 6 points organically, 2 points of price, which we're pleased about, 4 our points of volume, which we're also pleased about as they emerge from their destocking and helps give us confidence that, that will be quick on the utility side as well. 
 There's strength in industrial markets, but also specifically in what we describe as our growth verticals of renewables, as well as data centers, which are up to over 20% each. So great to see Electrical Solutions performing so well on the top line. That's translating nicely at the OP level, you see a 6% increase to $80 million and 80 basis point expansion of margin on both the volume and price cost performance. We would call out that Mark and his team, as we've discussed with you all are continuing to execute on the playbook that he so successfully implemented at Power Systems to create a more compete collectively mindset in the segment, really emphasizing cross-selling, optimizing the footprint, simplifying the structure. 
 So there's some R&R spending to be done and we would have added another 5 points of OP growth, i.e., being double digits and another 80 bps of margin expansion if we were to adjust out that restructuring as many of our peers do. Great to see electrical having such a solid quarter. And with that, I'll turn it back to Gerben on our outlook for the balance of the year. 
Gerben Bakker: Great. Thanks, Bill. So to sum it up, our performance in the first quarter with Hubbell well on track to achieve our full year 2024 outlook for double-digit adjusted operating profit growth, which we are reaffirming today. Relative to our prior outlook, our electrical markets are off to a stronger start, and we have better visibility to positive price traction across both of our segments, which we believe will enable us to absorb the near-term impact of weaker telecom markets.  
 Additionally, we are increasing our expectations for full year restructuring investments from $0.25 to $0.35 as we proactively manage our cost structure in certain areas of the business while continuing to invest in the long-term growth and productivity initiatives.  
 Looking further ahead, the acceleration of grid modernization and electrification megatrends together with our unique leading positions in front of and behind the meter will enable Hubbell to continue to deliver differentiated performance for our shareholders over the long term.  
 We look forward to sharing more details on our long-term strategy and outlook with you at our upcoming Investor Day on June 4.  
 With that, let me now turn it back to Michelle to begin our Q&A session. 
Operator: [Operator Instructions] As a reminder on your telephone and wait for your name to . Our first question comes from Jeffrey Sprague with Vertical Research Partners. 
Jeffrey Sprague: A few questions from me. First, just on -- and I'm sorry if I missed it, just hopping between calls. Did distribution actually grow for Hubbell in the quarter? And if so, can you size it?  And then whether the answer is yes or no, can you kind of triangulate that to what your view of end demand or sell-through might have been in the quarter in the channel? 
William Sperry: Yes. So I think the second half of your question is, we'll get to first. I mean I think where we have the most visibility through our customer base and Gerben referred to being with 400 of them as recently as a week or 2 ago.  
 It's -- we believe the distribution markets are growing, but it's also clear to us that their -- the end customer, the actual utilities have a decent amount of inventory that in addition to what the channel had.  
 And so I think that's causing the order patterns, Jeff, and the book and bill piece to be just extended period of a little bit softer and so while we got good price, net-net, did not grow in the quarter. But we think it's going to bounce back strongly, and we feel very confident in that. 
Gerben Bakker: And maybe I'll add some context is what we see even through the first quarter and maybe coming even into April is, the good news is we are seeing a sequential as you look from February to March into April, increase in order rate. And I think that's a reflection of that channel inventory, the distribution channel inventory normalizing.  
 And our visibility into that is clearly better. I would say that if you look at it to the traditional uptick as we go into construction season, it's a little bit delayed and a little bit slower that ramp-up for the comments that Bill made that feedback from the end user is that they're still working through it.  
 And that's also happening at different magnitude. Some are going at it more aggressively, some are going at it, looking for that inventory to just be utilized in their growth. But the encouraging news is we are seeing it come up. This is exactly what happened in the Electrical segment. And it's a little bit nervous while you're going through it, but we clearly went through that there. We saw the rebound in the first quarter. And we think that will happen in the Utility as well, particularly in that distribution, more book-to-bill form of the business. 
Jeffrey Sprague: And then Bill noted, I think that some additional price has allowed you to kind of offset telecom in the guide, but cost is also going up, right? Copper is up, some other stuff is moving. 
 So are you now -- you've got a better price, but are you actually in a better price cost position than you were thinking 3 months ago or... 
William Sperry: Yes. So we've got productivity levers too. And you're right to point out that we're looking at price kind of against material cost and then productivity against nonmaterial inflation. And you're right, that inflation persists. So I think important, Jeff, for us to keep our eye on the productivity ball, as well as make sure we're being as surgical on price as we can be. 
Jeffrey Sprague: Your price/cost equation really hasn't changed that much then. 
William Sperry: No. I mean, it was stronger in the quarter than we had originally anticipated. But also, I think, as the year unfolds, when we told you that we had started our outlook with about a point of price, we obviously had 3 points in the quarter.  
 So we're sort of off to a good start there. But I think very specifically in Telcom, we may need to use price surgically to build back some volume there. So it's a dynamic equation, I would say. 
Jeffrey Sprague: Great. And then just one more for me, if I could.  What was the sequential impact on Utility Solutions margins from the Telcom weakness? It was encouraging to see the margins move up sequentially. And I think you have certainly mix headwinds between grid infrastructure, grid automation, relative growth rates. But Telecom specifically sequentially, was that a meaningful headwind in the quarter? 
Daniel Innamorato: Yes, Jeff, it's still a headwind, less than the $150 million year-over-year, I'd say, though. 
Operator: One moment for the next question. Our next question comes from Steve Tusa with JPMorgan. 
C. Stephen Tusa: Can you guys just give us a little bit of color on the second quarter on EPS, just relative to normal seasonality, any kind of sequential color there? And then how you expect the utility margins to trend throughout the year? 
William Sperry: Yes. So it's a little bit of a -- first of all, nice sweep by the way, but it's a little bit of a tough question just because we don't give quarterly guidance. 
 But I think the way we're looking at it, the first half of the year to be normally seasonal, should be in that 47-ish percent range of contribution and we feel good that we'll be delivering at that level to get to our range on the full year guide. So -- and as you -- I think maybe that's a macro way. I'm not sure if that's getting exactly what you want, but... 
C. Stephen Tusa: No, that's perfect. That's absolutely perfect. And then just the Utility margin over the course of the year? 
William Sperry: Yes. I think that as we get normal seasonality for us is to pick up volume and margin in second and third quarters, Q4 kind of steps back. 
 So to be thinking about quarter compares can get tricky. But if you extend your question to the full year, we're expecting margins to be reasonably flattish over the course of the whole year, on a year-over-year basis. 
Gerben Bakker: But the second quarter will be up from the sequential expect margins in the second quarter over the first. Stay elevated and that stays in the third quarter and then declines... 
Operator: One moment for our next question. Next question comes from Nigel Coe with Wolfe Research. 
Nigel Coe: So just going back to the Utility inventory levels. So where are we in terms of the channel inventory? So I think 6 weeks is historically where they've been in the past, just wondering if we're getting down to those levels. 
 And then any intel on the amount of inventory still held -- the shadow inventory held by the customers. And I guess my kind of broader question is, when do you expect to sell in and sell out to equalize? 
Gerben Bakker: Yes. Maybe I'll start, Bill, fill in. I would say in the distribution channel, and that's where we have better visibility, right? Because we sell and then we see their sell-out in fairly good amount of them that are stronger partners there. 
 I would say typically, and that varies, of course, by product line. But if you think about 90-ish days of inventory, they're pretty much back there. I mean they're pretty much done with inventory stock out of our materials, particularly the distribution materials where it's more stock and flow. 
 It gets harder when you look at the end customers. And we do have very close relations with some of them where we get direct feedback with events like we were at a couple of weeks ago, where you have a lot of them, we triangulate and it's elevated, but it's by varying degrees of elevation. It's really, really hard to say there, Nigel, of exactly what the level is. 
 What is even more interesting is that when you talk with them, some say they clearly have and are working that down, whereas others are saying, it's not our focus right now. We're looking to serve the needs out there, and perhaps it's a thought for down the road. 
 So this is where that gets really hard. So for us, what we look at is that ramp up what we would normally see seasonally happening and to what extent. 
 And as I stated in my earlier comment, that's coming a little later than we would typically see it. And the magnitude of the ramp-up is a little slower. But the good news, it is coming up, and that's what you expect when you're when your distributor has done destocking, you would expect it to come up and it has come up. 
 So it's really -- as we even stated in the first quarter, the last time we said we thought we would be mostly through within the first quarter. I think that's probably still the case. But to exactly pinpoint what will be done, it's just very hard. 
Nigel Coe: Okay. So thinking about the sequencing of the full year for the Utility Solutions segment, 4% to 5%  for the full year. So the second quarter still below that bar, I'm assuming? And then the second half above on  [Indiscernible]? 
William Sperry: Yes. And again, I think as we've tried to put in that little box, we think there's T&D compares get a little bit easier, and some of the automation compares get a little harder. But the larger part of the business is the infrastructure piece, and that's where we think you'll see the back-end growth. 
Nigel Coe: Okay. I had a quick one on utility margins. Obviously, recognizing that the bulk of the year-over-year was driven by the Telcom headwinds. So the balance, the roughly 100 basis points outside of that headwind, would that be mainly volume deleverage? Or was there an M&A impact from the Systems Control? 
William Sperry: Yes. The M&A impact from Systems Control was very modest, given that it right, it was 14% of sales and the margins were in the mid-20s that it was kind of comping against. So it did very nicely in its margin, but it had a slightly -- it had a slight drag from there. 
 But I think if you think about operationally the investments that we made, ultimately created a point of drag as we went through. So that is something we're very intentionally not harvesting quarterly margin. 
 We believe that we're going to add capacity to this business for this kind of very immediate and multiyear growth that's in front of us. So -- that's -- but I think we were encouraged by the sequential pickup as well. 
Operator: One moment for the next question. The next question comes from Tommy Moll with Stephens. 
Thomas Moll: I wanted to start on the topic of the supply environment for your utility business. You've invested in response to significant demand in expanding your supply base, but others in the market have as well. 
 So I'm just curious, at a high level, how would you characterize that supply-demand environment today? Has it shifted at all? 
Gerben Bakker: Yes. I think where we're adding capacity is in the areas where we see visible longer-term growth, right? 
 So if you think about Transmission and Substation, action area of the business that the orders are very strong. Our backlog has continued to grow. Discussions with our customers, it's clear that they need these materials. And so we've invested in those areas. 
 I think if you look across the industry, you see perhaps different peers investing in different areas. Of course, I would also expect those that compete in the same areas to invest in that. 
 Our level though, of increase, I think, is supportive of the supply and demand characteristics rather than that we're somehow overinvesting in there. 
William Sperry: A couple of metrics that support, I think, Gerben, is I think our service levels are reaching very good levels. And our lead times are in most areas coming back to normal. And those 2 facts or outcome, I would say, are pretty demonstrative of an improving supply chain environment. 
Gerben Bakker: Yes. And maybe I'll go on that again, Bill, because what our customers want most from us is that we service them well with quality products. And again, in the discussion that we have with them, that's what they're really concerned about. 
 So the fact that we've been able to take our lead times down and we have, the fact that we've been able to increase our service levels is all -- and that we're investing in the business and capacity with [indiscernible] that's what our customer wants to do. 
 Now one of the outcomes is that -- that when you do that your supply chain normalize, you can actually destack, they can take comfort in the fact that we're going to deliver for them. So it's a very natural  outcome and it's actually a good thing for the business long term to do this. 
Thomas Moll: I wanted to follow up on the comment you made regarding pricing for Telco. Just clarify a bit what you meant? I think, Bill, that was a comment you made in the context of a broader pricing discussion. 
William Sperry: Yes. I mean I think we're really pleased generally with the pricing construct. We had about 1 point of wraparound price from our last year actions. So for us to garner 3 points in the first quarter implies success at getting some new price.
 And I would say, generally, Tommy, while Electrical did very well in that regard, Utility did even better. And so across the enterprise, we think that pricing is in very good shape. And I think we're going to be quite surgical about it. 
 And there may need to be instances in the Enclosures area where we need to use price a little bit. But overall, net-net, as an enterprise we feel quite good about overall pricing. 
 And I think that's a function of kind of the quality of the product, the quality of the relationships that we have, the positions that we have, but maybe most importantly, the relative service levels that we have and being able to supply our customers with the critical infrastructure solutions that they need. So that's been a very good story, net-net, Tommy, for us. 
Operator: One moment for the next question. The next question comes from Julian Mitchell with Barclays. 
Julian Mitchell: Just apologies I wanted to circle back to Telcom. Just that I see the color on sort of Slide 8. And clearly that exposure was down 40% in the first quarter. But just to try and understand, full year as a whole, kind of what are you dialing in for that Telcom business in terms of year-on-year trends in Telcom? 
Gerben Bakker: We're anticipating, Julian, double digits down for the full year. We see the second quarter kind of continuing from the first quarter, the comps in the second quarter get easier because this started as we went through the second half and accelerated as we went towards the end of the year. 
 But yes, our view right now is for it to be down [Indiscernible] and we contemplated some of this in our -- as we presented the guidance to you for that. There are some thoughts in the industry that we could see a second half rebound. Yes, we were a little perhaps more conservative in that view, and I think that's proven out to be right. 
Julian Mitchell: That's helpful. And then just my second question would be around Utility margins and the trajectory there. 
 I understand the pricing sounds pretty good there, and you've now got the Systems Control effect in that Q1 margin already. So as we're thinking sort of the balance of the year in Utility margins, do we think about a sort of steady sequential increase through the year and then you end up at that sort of flattish margin for the year as a whole? 
Gerben Bakker: It's the right way to think about it, indeed. The only, I would say, clarification to that, typically, in the fourth quarter, we'll see it come down again. 
 So you'll see it go up second and third down a little bit, but the construct over year-over-year for -- particularly for the Utility T&D component is right. 
Operator: One moment for the next question. The next question comes from Brett Linzey with Mizuho. 
Brett Linzey: Yes, I just wanted to come back to the investments. Can you just remind us in size what you're thinking about in terms of investments for the year? 
 And then what was spent in Q1? I'm just trying to think about the phasing first half, second half on some of the spending initiatives. 
William Sperry: Yes. So let's characterize the investments maybe first, right? So some of it is in capacity expansion inside of the Utility segment. And that as Gerben sort of highlighted, comp focused in the transmission and substation area. 
 On the Electrical side, a little more around helping Mark get to his vision of getting that segment to compete collectively. So there's some restructuring element in there. 
 And as Gerben said, we're kind of adding $0.10 to the annual outlook, specifically for restructuring from  $0.25 to $0.35  And -- so I think that you should see that reasonably ratably through the year that especially because some of the investment is depreciation from CapEx that was spent last year, right? So you see that come through ratably. And the restructuring is based on when we can -- when we can execute. 
Gerben Bakker: And maybe the only thing to add there that if you look sort of out year expense, I think as you stated, what you'll see over year-over-year is that, that will start flattening as the year progresses because we accelerated investment, particularly in the second half of last year. So from that perspective, the comps just get easier on that investment? 
Brett Linzey: Okay, great. And then just a quick follow-up, Bill. In your prepared remarks, you noted something about a sequential 30 basis point pickup. Was that 1Q to 2Q? Just the context in what you meant there? 
William Sperry: No, no, 4Q to 1Q is what I meant. So just when you saw a 1 point year-over-year decline, it also is a 30 basis point improvement from the fourth quarter. And so we actually think that's a good sign. 
Operator: One moment for the next question. The next question comes from Nicole DeBlase with Deutsche Bank. 
Nicole DeBlase: Just on the Electrical segment outlook, just double checking that organic, you guys are still thinking up 3% to 4% for the full year? And I guess, in light of the outperformance in the first quarter, could this maybe be an area of upside? 
William Sperry: Yes. I think you've got the outlook right, and I think you also have that we were encouraged by the first quarter. So I think both of your statements, I agree with yes. 
Nicole DeBlase: Okay. Perfect. And then secondly, on the Meters and AMI business, you guys kind of put that additional color in the slides. Is your expectation that it actually declined year-on-year in the second half on the back of those tough comps or still up, but just not as much as the first half? 
William Sperry: Yes. We were just, Nicole, trying to indicate a flattening there. So you saw pretty impressive growth in the first quarter. And as those comps get harder and we kind of managed through the backlog, we were expecting that to be a lot flatter. 
Operator: One moment for the next question. The next question comes from Christopher Glynn with Oppenheimer. 
Christopher Glynn: Nicole, just beat me to the punch on the Electrical question there, but going in a touch further, you talked about electrification driving broad-based strength across industrial markets. Can you talk a little bit about the kind of [indiscernible]  in an industrial market. What type of electrification capitalization are you associating with that? 
William Sperry: Yes. Look, there's, I think, a lot of kind of background trends, Chris, going on. I think there's some legitimate onshoring. I think there's some legitimate like electrification driving really big semiconductor plants. So there's big kind of construction and project work that's being driven there. 
 And for us, we called out specifically renewables as well as data centers, which are I think, both outgrowth of what would fit under the Electrification theme. 
 And so broadly speaking, we think the industrial outlook is good. Onshoring, I would maybe call out as one of the more important trends and Electrification really driving some of those verticals that our focus areas for us to serve those verticals. So that's a good -- I think that's quite a good setup for us in the Electrical segment. 
Christopher Glynn: Okay. Just a little stale on the size of the renewables and the data center businesses, if you could help there. 
Daniel Innamorato: Yes. It's in the range of 5% to 10% in each of the segment, Chris. Less than 10% each . 
Operator: One moment for the next question. The next question comes from Joe O'Dea with Wells Fargo. 
Joseph O'Dea: Just wanted to ask on Telcom and it sounds like challenged environment currently, but also constructive medium-term outlook. And so can you just parse a little bit the key developments that you need to see to transition from kind of current challenges into something that's -- that's more constructive. 
William Sperry: And I was just going to say that the -- we saw the orders start to dip last year and  it was coupled with a very large backlog. So we started liquidating that backlog, but watching the low orders suggest that once the backlog kind of got down to book and bill levels that basically, what we need, Joe, is the order pattern to pick back up. 
 So this Enclosures segment serves Telcom companies and cable companies. And when we talk to them, when we talk to our distributors who's talked to them, when we talk to other suppliers who supply those kind of companies, there just continues to be a bullishness around the need for build-out and infrastructure build-out by those companies and it's -- we need -- basically, we just need the orders to pick back up, which we think is purely a function of when the inventory levels are hit their normal levels. 
 I think ultimately, as well, there's going to be some stimulus money that starts to hit that segment and independent of probably will happen at exactly the same time that the stimulus will come and the inventories will be down all of a sudden, the orders will bounce. 
 But that's basically what the business needs is the customers to start placing orders in recognition that the end customer is installing and the inventories are at a normalized level. 
Joseph O'Dea: And so it sounds like it's more of an inventory normalization headwind than it is in end market activity headwind. Is that fair? 
William Sperry: We 100% believe that that's true, yes. 
Joseph O'Dea: Okay. And then just a question related to utility distribution side of things and the degree to which you see any instances of long lead times in certain product categories, not necessarily what you ship that are inhibiting some end market activity. 
 And so the idea being that over time is those correct, could there actually be a bit of an uptick or sort of surge of demand as other channels sort of correct on lead times? 
William Sperry: I think you point out a good point that our distribution products, by and large, the lead times are quite normalized, very quick to be able to satisfy demand. 
 Ultimately, products like transformers are still gapped out in terms of lead time. And -- so I think that makes project planning a little more difficult. And some of our products may suffer a little bit from that. 
 But generally, we're giving now good visibility, hitting on time promise dates. And I think our part is much more predictable than it had been 1.5 years or so ago. So -- but I agree with you, there still are other long lead time products. And on the Transmission side, it's -- we have some long lead time items, too. So -- but Distribution, I think you're right. It's -- our stuff is ready to go. 
Operator: The next question comes from Scott Graham with Seaport Research Partners. 
Scott Graham: I have one and one follow-up. On HUS, would it be fair to say second quarter sales volumes flat? Or can they be up? And then obviously, second half is up? Then I have that follow-up. 
Daniel Innamorato: Yes. So Scott, we're not giving quarterly guidance. I think the Slide 8 should give you good considerations of how we're viewing it sequentially and how the comparisons play out in 2Q in the second half? . 
Scott Graham: No problem. You made a comment in the HES slide on project activity. Could you elaborate on that a bit? 
William Sperry: I just think there are some big projects out there and things like chip plants and reshoring of large-scale industrial projects that -- our multiyear projects, our products tend to go in mid- and late cycle on that construction. 
 And so to us, that's a great leading indicator as we see those projects get started. And we're quite confident we'll get our fair share of that net and late-cycle install components. 
Operator: I show no further questions at this time in the queue. I would like to turn the call back over to Dan for closing remarks. 
Gerben Bakker: Great. I'll take it from Dan. I appreciate everybody's time, as Bill said, on a busy morning. We really look forward to spending time with you in June at our Investor Day, we'll talk a lot more there about where our business is going in the next 3 years. 
 And certainly, we're excited about this -- what we've been stating of building a profitable growth on this base that we've built and those are kind of the expectations you could have as we go into June. So thanks much, and we'll see you soon. 
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.